Operator: Good morning, and welcome to Kelly Services Second Quarter Earnings Conference Call. All parties will be on listen-only until the question-and-answer portion of the presentation. Today’s call is being recorded at the request of Kelly Services. If anyone has any objections, you may disconnect at this time. I would now like to turn the meeting over to your host, Mr. George Corona, President and CEO. Sir, you may begin.
George Corona: Thank you, John, and good morning. Welcome to Kelly Services 2019 Second Quarter Conference Call. With me on today’s call is Olivier Thirot, our CFO. And let me remind you that any comments made during this call, including the Q&A, may include forward-looking statements about our expectations for future performance. Actual results could differ materially from those suggested by our comments and we have no obligation to update the statements made on this call. Please refer to our SEC filings for a description of the risk factors that could influence the company’s actual future performance. In addition, during the call, certain data will be discussed on a reported and on an adjusted basis. Discussion of items on an adjusted basis are non-GAAP financial measures, designed to give insight into certain trends in our operations. Before I turn to our quarterly results, I would like to recap the announcement Kelly made yesterday afternoon regarding my planned retirement, the Board’s appointment of my successor and our transition plan. Then I will underscore some of the additional levels of complexity we experienced during the second quarter before I begin our second quarter earnings report. Starting with the announcement we made yesterday, on September 30th of this year, I will step down from my role as President and CEO of Kelly. It is important to me as well as to the Board to ensure a smooth transition, so I will remain with the company in an advisory capacity and as a member of the Board of Directors until my retirement sometime in the first-half of 2020. Having spent most of my adult work life at Kelly, be it in my CEO role or as COO for eight years or in other positions for 15 years before that, I believe it is now time to pass the torch to a new CEO, who will continue to move Kelly forward. We have a strong seasoned leadership team in place and an organization full of talented individuals who understand what’s next for our industry and for our customers, and I have complete confidence in the path that we’re on and what lies ahead. Recognizing my desire to retire early next year and guided by our succession plan, the Board followed a comprehensive process to ensure we identified an extraordinary – identified extraordinary candidates to service Kelly’s next CEO. Yesterday, Kelly’s Board unanimously endorsed Executive Vice President, Peter Quigley, as our next President and CEO effective October 1, 2019. He will also serve as a member of the Board of Directors. And Peter is with us on today’s call. The Board shares my confidence that our organization is in the hands of an extremely capable, collaborative and growth-minded leader. For those of you who haven’t had the pleasure of meeting Peter, Peter is a 17-year veteran of the company. And during his time here, he has either managed or been responsible for managing a majority of operations and support functions across the organization. He is also one of the principal architects of Kelly’s current business strategy. Peter serves as Kelly’s representative on the Board of Directors of Persol Holdings, a leading Japanese staffing and solutions company, publicly traded on the Nikkei Stock Exchange. He also serves as a Board member of PersolKelly, the company’s joint venture with Persol, that provides staffing in 12 geographies in APAC. Other responsibilities and honors he has had outside of Kelly include his role as second Vice Chair of the Board of Directors of the American Staffing Association, as well as appearing on SIA’s100 most influential people in staffing list. I work with Peter every day and I know the company is in good hands. Now moving on to our earnings report. I want to under – I want to start by underscoring some of the additional levels of complexity we experienced during the second quarter. These include our sale of unused property; our equity investment in Persol Holdings and the volatility this introduces each quarter, either positively or negatively; foreign exchange fluctuations; and acquisitions and divestitures. In his remarks, Olivier will detail the impact of these items on our reported earnings. Please note that my year-over-year comparisons are represented in nominal currency with the exception of our International Staffing segment, which is in constant currency. Turning to some of the highlights of Kelly’s second quarter results. Revenue was $1.4 billion, down 1.4% compared to the second quarter of last year. Our gross profit rate was up 50 basis points. Earnings from operations were up 10%, excluding the gain on the sale of assets. Free cash flow includes – improved significantly year-to-date over the same period last year and diluted earnings per share showed a year-over-year improvement. With that, let’s look at how Kelly’s three operating segments performed in the second quarter, starting with Americas Staffing. Americas Staffing revenue decreased 1% in the second quarter compared to the same period last year. Commercial staffing revenue was down 7% from the prior year. Kelly Educational Staffing delivered revenue growth of 7% in the second quarter, and revenue in our Professional and Technical specialties grew 23% in the second quarter compared to last year, favorably impacted by NextGen, a strategic first quarter acquisition. On a combined basis, permanent placement fees decreased 8% over year – year-over-year. The second quarter gross profit rate in Americas Staffing was 18.2%, up 20 basis points from last year due to the favorable impact of NextGen on business mix and partially offset by higher employee-related costs. Expenses for the quarter were up 3% in Americas Staffing, mainly due to the addition of NextGen and the costs associated with strategic projects. Expenses were partially offset by lower salaries as a result of our Q1 restructuring actions and the quarter was also impacted by lower incentive-based compensation. All told, the Americas Staffing segment achieved an operating profit of $15 million in the quarter, compared to $17.8 million last year. In my concluding remarks, I’ll share some additional insights about recent activities in this operating segment and what we expect to see in the future. Now turning to our International Staffing operations outside of the Americas. Revenue in International Staffing decreased 7% compared to the prior year in nominal U.S. dollars. And on a constant currency basis, revenue decreased 2%, primarily in Western Europe, partially offset by increases in Eastern Europe. For ease of reference, the remainder of my comments on International Staffing will be on a constant currency basis. Fee-based income for the second quarter was down 10% year-over-year and the segment’s reported GP rate for the quarter is 13.5%. This is 40 basis points below the same period a year earlier, driven mainly by unfavorable customer mix and lower fee-based income. Expenses were 2% higher versus the prior year. In summary, International Staffing reported operating profit, was $3.5 million, compared with $6.4 million in the same quarter last year. Now let’s turn to the results of our Global Talent Solutions reporting segment. The segment includes Global Technology Associates, GTA, one of our new strategic acquisitions. Let’s first look at how GTS performed as a whole in the second quarter. GTS revenue increased 1% year-over-year in Q2 and gross profit increased 8% year-over-year. Both revenue and GP were positively impacted by the acquisition of GTA. In addition, we continue to see structural improvement in our product mix with year-over-year volume increases in our Business Process Outsourcing, KellyConnect and Contingent Workforce Outsourcing practices being offset by decreases in our centrally delivered staffing. Now let’s look at the gross profit results in each of the 2 GTS businesses. Our talent fulfillment business is made up of our CWO, Payroll Process Outsourcing, PPO, centrally delivered staffing and Recruitment Process Outsourcing or RPO solutions. Gross profit in the talent fulfillment business was down 2% year-over-year in Q2 consistent with Q1. The decrease was primarily a result of lower volume in our centrally delivered staffing, practices, partially offset by volume increases in our CWO and PPO practices, as well as lower employee-related costs. Our outcome-based businesses comprised of our BPO, KellyConnect and advisory services solutions and include the results of the newly acquired GTA organization. Gross profit in our outcome-based businesses increased 30% year-over-year. The increase continues to be driven by strong volume in both our BPO and KellyConnect products, along with the impact of the acquisition of GTA. Consistent with our talent fulfillment practice, we also saw a reduction in employee-related costs in our outcome-based businesses compared to a year ago. Overall, the GTS segment gross profit rate was 19.7% for the quarter, up 120 basis points year-over-year and this improved rate is primarily a result of structural improvements in our product mix and lower employee-related costs. Expenses in GTS were down 1% year-over-year. The lower expenses were result of the continued effective cost management within the organization. All told, GTS second quarter operating profit was $25.4 million, compared to $17.7 million a year ago, a 43% increase. And now, I’ll turn the call over to Olivier, who’ll cover our quarterly results for the entire company.
Olivier Thirot: Thank you, George. Revenue totaled $1.4 billion, down 1.4% compared to the second quarter last year. Our total company reported results were unfavorably impacted by 120 basis points due to foreign exchange. So on a constant currency basis, our second quarter revenue was down 0.2% year-over-year. Our Q2 performance includes the results of NextGen and GTA, which added 290 basis points to our constant currency revenue growth rate. This was partially offset by the 60 basis point impact of that recent divestiture of our legal specialty practice. Overall, the Q2 constant currency organic revenue growth was down 2.5%. Organic revenue declines reflect a weakening economic environment in Europe and challenges resulting from the Q1 restructuring of our U.S. branch operations. Staffing placement fees were down 9.7% in nominal currency and down 7.5% versus a year ago in constant currency. The fee performance reflects continued declines in International Staffing fees, coupled with declining fees in Americas Staffing, after several quarters of fee growth. Overall, gross profit was up 1.4%, or 2.6% on a constant currency basis. Our gross profit rate was 17.8%, up 50 basis points when compared to the second quarter last year. Approximately 30 basis points of our GP rate improvement was due to the acquisition of NextGen and GTA, which are higher-margin specialty businesses. On an organic basis, GP rate improved 20 basis points, with 30 basis points coming from structural improvement in the GP rate, partially offset by 10 basis points from lower staffing placement fees. SG&A expenses were up 0.6% year-over-year, or 1.6%, excluding the impact of currency fluctuations. Including in SG&A in the second quarter of 2019 are $6.9 million of expenses from our NextGen and GTA acquisitions. In Q2, we also add a $600,000 benefit as the current expected cost for our Q1 restructuring actions are less than we had originally expected. So on an organic basis, excluding currency impacts, expenses were down 1.2%. The decrease in expense reflects good cost management, particularly in our GTS segment. Earnings from operations were $34.8 million in the second quarter, compared with 2018 earnings of $20.4 million. Included in earnings from operations from the second quarter of 2019 is a gain on sale of assets of $12.3 million, representing primarily a pre-tax gain on the sale of unused land near our company headquarters. We held the unused land to allow for potential future expansion, but how and where our employees work has changed. In an increasingly digital workplace, we no longer anticipate the need to expand the physical footprint of our corporate compass. Excluding the sale of assets, these results reflect a conversion rate, our return on gross profit of 9.2%, compared to 8.5% for Q2 2018. These results reflect solid execution of the quarter in an increasingly challenging environment. In spite of these challenges, we’ll continue to execute on our focused specialty talent solutions strategy and on our commitment to delivering an improved conversion rate for the year. As we have mentioned on prior calls, Kelly is required to reflect the unrealized gains and losses on changes in the market value of our equity investment in Persol Holdings as a component of our earnings. As a result, in the quarter, we recognized a $61.2 million pre-tax gain on our Persol common stock. In 2018, we recognized a $52.5 million loss on the Persol common stock in Q2. These gains and losses are recognized below earnings from operations as a separate line item with other income and expense. Income tax expense for the second quarter was $12.7 million, compared to a $15.6 million tax benefit in 2018. The effective tax rate in 2019 was 13.2%, compared to 49.6% benefit in 2018. The change in the effective tax rate is primarily due to the tax impact of the gains and losses on the Persol common stock. Also included in Q2 2019 income tax expense is a net benefit of $9.7 million related to changes in deferred tax valuation allowances. And finally, diluted earnings per share for the second quarter of 2019 totaled $2.12 per share, compared to a loss of $0.40 in 2018. Included in 2019, EPS is approximately $1.07 related to our gain on Persol stock net of tax, compared to a $0.94 loss in 2018. In addition, our 2019 EPS includes the impact of $0.23 related to the gain on sale of assets mentioned previously and $0.08 benefit from our recent acquisitions. So on an adjusted basis, like-for-like EPS for the quarter was $0.72, compared to $0.54 a year ago. Now as we look ahead to the rest of the year. After considering our results for the second quarter, we expect our full year reported revenue growth to be flat to up 1%. This includes an expected unfavorable impact of FX on the revenue of approximately 110 basis points. The impact of our recent acquisitions of NextGen and GTA are included in our expectations. We continue to anticipate that our revenue growth will progressively accelerate during the second-half of the year, as the changes we made in our Americas Staffing delivery models take effect. We expect the full-year gross profit rate to be up 50 to 60 basis points on a year-over-year basis. While we may continue to experience some volatility in the GP rate on a quarterly basis, structural changes in business mix from our shift to higher-margin solutions, both organically and as a result of our recent acquisitions, are expected to positively impact our GP rate for the full-year. As a result, we expect our gross profit dollar increase to be in the 3% to 4.5% range in nominal currency. We anticipate full-year SG&A expense to be up 1.5% to 2.5%, excluding restructuring charges. This includes the additional amortization expense related to the recently acquired intangible assets. We’ll continue to align our cost base to slower growth expectations. Consistent with our prior discussions, the outlook provided does not reflect any gains and losses on Persol stock, although we do believe that future unrealized gains and losses resulting from changes in market price could be material. And finally, we expect the full-year effective tax rate to be in the mid-teens, excluding any additional impact from Persol gains or losses. So all in, while we’ll continue to make investments in several key areas of our business in 2019, we expect to deliver year-over-year improvement in our conversion rate. For the third quarter, we expect reported revenue to be negative 0.5% to up 0.5%, including unfavorable FX impact of about 80 basis points. We expect the gross profit rate to be up 40 to 60 basis points year-over-year, resulting in a 2% to 3% year-over-year improvement in nominal GP dollars. And finally, we expect SG&A expense to be up 2% to 3%. Now let’s move to the balance sheet. Cash totaled $37 million, compared to $35 million at year-end 2018. Accounts receivable totaled $1.3 billion and are down 1.5% from year-end 2018. Global DSO was 57 days, up two days from the same quarter last year and up two days from Q4 2018. At quarter-end, we had debt of $19 million, compared to $2 million at year-end 2018. Our increased level of debt includes the impact of borrowing related to our acquisition of NextGen and GTA. Our Q2 balance sheet also reflects the adoption of the new lease accounting standard effective at the beginning of 2019. While we have reflected right-of-use assets and lease obligations on our balance sheet, the adoption did not have a material impact on our earnings nor do we expect it will going forward. In our cash flow year-to-date, free cash flow was $65 million, compared to free cash flow of $23 million in the same period last year. This improvement in free cash flow has allowed us to quickly repay borrowings, used to fund our recent acquisitions and deleverage our balance sheet quickly. We also generated $40 million in cash during the quarter from the sale – the asset sales. For more information on our performance, please review the second quarter slide deck available on our website. I’ll now turn it back over to George for his concluding thoughts.
George Corona: Thank you, Olivier. I’d like to share some additional insights about the quarter. Let’s start in the Americas. As you may recall last quarter, we announced a restructuring initiative for our U.S. branch operations. This initiative is designed to accelerate growth by allowing us to more precisely and flexibly adjust and redeploy resources across our organization as required by supply and demand conditions. Ultimately, this improved agility will enable us to more quickly and efficiently meet the needs of both customers and talent, as well as to capture growth opportunities in the market. We’re confidence in the structural changes we have made and expect that later this year we will begin producing improvements in recruiter and sales productivity and a healthy customer and product mix. The second quarter brought slower-than-expected growth in the U.S. and softening demand in Europe. While macroeconomic conditions in Europe had deteriorated, the U.S. labor market continues to be holding up despite signs of slowing in both economic and employment growth. Against that backdrop, we accomplished several things this quarter. We delivered improvements in gross profit performance as we continue to focus on higher-growth outcome-based services, we executed on our inorganic specialty strategy with our GTA and NextGen acquisitions outperforming expectations and making a strong impact on the business. In Q2, they alone delivered $11 million in GP and $4 million in earnings, while providing us with a platform for additional organic growth and investment. We effectively managed costs in line with our GP, while continuing to invest strategically in our business. And free cash flow improved significantly now at $65 million, compared to $23 million in the same period last year. Our forward focus is on optimizing the value versus volume equation and effectively managing costs, while advancing our Specialty Talent Solutions strategy. As always, we will continue to monitor the competitive landscape for additional strategic investments to further accelerate the growth of our business. We look forward to reporting back to you on these results and these efforts next quarter. Olivier, Peter and I will now be happy to answer your questions
Operator: [Operator Instructions] And we’ll first go to line of Josh Vogel with Sidoti. Please go ahead.
Josh Vogel: Thank you. Good morning, guys. First off, George, congrats on your retirement. Wish you the best of luck. And Peter, congrats to you as well.
George Corona: Thank you.
Peter Quigley: Thanks, Josh.
Josh Vogel: I guess, my first question, looking at organic revenue is down 3% in the first-half of the year ex-NextGen and GTA. And then looking at your guidance and commentary, I just want to confirm that you expect the organic revenue performance to show improvement in the second-half of the year versus the first-half of the year, excluding any FX?
Olivier Thirot: Yes. I mean, when you look at organic growth, so excluding acquisition and divestiture, for Q2 we are at minus 2.5%. When you look at the outlook for Q3 and then the – for the full-year, we are comfortable to see some acceleration, namely in our U.S. branch-based business as an outcome of the restructuring initiative we have taken in Q1.
Josh Vogel: Okay, great. I actually – we saw some nice sequential in year-over-year uptick in the UK, which surprised me. I was just wondering if you could talk to the driver there and what the dialogue is, say, with clients around the ongoing Brexit talk?
Olivier Thirot: Yes. I mean, when you look at total revenue in the UK for the quarter, we are up by about 13.3% in constant currency, it’s an acceleration versus Q1. Q1 was at about – close to 5%. So we see, despite of a very challenging environment, I think, very good dynamics in our business. But maybe, George, you may add something or Peter?
George Corona: Yes. I guess, what I would say is that, we have spent a lot of time and effort in improving our UK operations and it’s been a long road, but it’s beginning to payoff now. And our business, while it will have some impacts from Brexit, we’re not highly dependent on those things. So we don’t think it will have a material. I don’t know, Peter, if you want to add to that?
Peter Quigley: Yes, Josh, the only thing I’d add is that the Brexit, George said, not a direct impact on our business, but it is creating some uncertainty among businesses in terms of making decisions. But I think that’s just something we’re going to have to live with.
Olivier Thirot: And one of the outcome is basically what I did mention around tax, the fact that we have basically released some valuation allowance in the UK. And basically, the underlying reason is basically we have turned the business earning wise, positive for the last three years cumulated, which is one of the outcome on the tax standpoint. But the real root cause of that is, of course, business improvement and our capabilities to turn the business into a positive earnings.
George Corona: Yes. we’re very proud of the team over there.
Josh Vogel: Okay, great. The technology and personnel investments that you’ve been making in recent quarters dating back to last year, I was just wondering how much left is there? And when we should expect to see even more leverage from those initiatives?
George Corona: Yes. So let’s talk about the technology investment. We – as we said before, it’s going to take us – it’s a pretty significant investment that we’re making in technology and it will go into next year. So as we get into 2020, we still will have activities in rolling that technology platform out into the U.S. So you – when you start to think about the benefits that will come specifically from that and the leverage that will come from that, it’s going to be very late next year and early into – I get my years mixed up now 2021 when that really is fully deployed and is often running with the expected leverage that’s going to come from it. From a – the talents initiatives, that is a much longer-term project for us, that is to turn ourselves much more into a talent-focused business. Now we have some pilots that we’re running right now that we expect will begin to have improvements in making it easier for us to attract and deploy talent, but that will be an ongoing initiative for the next couple of years as we turn ourselves to be in much more of a specialty talent provider.
Josh Vogel: Okay, great. Thank you. So, seeing the sale of the parcel of land, I know that was kind of a one-off. But I guess, when we look at your platform today, are there – and if you take in the count the recent acquisitions and other businesses you’ve either sold or got out of in recent quarters, I was just wondering if there were any non-core assets that you were targeting to potentially move away from?
George Corona: Yes. So, we always will evaluate all of our assets and how do they fit into our portfolio as we move forward, as we continued on this path of being a much more highly specialized player. We don’t have anything particularly to report right now. But as we move forward, we will continue to look at every opportunity to deploy assets that aren’t producing or don’t fit into the strategy, so that we can invest more into the strategy.
Josh Vogel: Okay. And just lastly, I figured I’d ask, I’m sure otherwise it will be brought up later on the call. But do you have any updates on the B shares?
George Corona: No. We don’t.
Josh Vogel: All right. Thank you, guys.
George Corona: Thank you.
Peter Quigley: Thank you.
Operator: [Operator Instructions] Next, we have Joe Gomes with NOBLE Capital. Please go ahead.
Joe Gomes: Let me add my congratulation and good morning.
George Corona: Thank you. Good morning.
Peter Quigley: Good morning. Thank you.
Joe Gomes: So kind of going along in some of these separate markets, just to call out a couple here like when we saw some declines quarter, year-over-year in Puerto Rico, France, Portugal. I was wondering if you might be able to provide a little bit more color on what is going on in those markets and where you think they’ll be going here in the near-term?
Olivier Thirot: Yes. I mean, if I start with Puerto Rico, I mean, I would qualify it as basically tough comparables, because in the past were pretty busy post hurricane, I would say, improvement in the island. So I would say, it’s more the comparable that are challenging because of a big, unfortunate, but one-time event that was pushing our business last year as opposed to, say, there is a change in, I would say, more structural trends. I don’t see that as a problem. I think it’s again more the comparables. For Portugal, if you look at the trends, we are still, I would say, profitable in Portugal. We don’t see the growth we have seen in the past and we have been growing for a lot of years over there. I think in Portugal, I would say, it’s really a more challenging economic environment, especially because Portugal is sometime used as a platform for manufacturing, namely, for German type of manufacturing, including automotive. So it is depressing a little bit the market. But we feel still that with a critical match we have here, the team, the size of our business, we are going to continue to make progress. But it’s more challenging than what we have seen in the past, Yes.
George Corona: And France would be a similar story and that the economic environment there is a little bit more challenging than it’s been in the past.
Joe Gomes: Okay. And then you guys have talked in the past about you’re seeking new and creative ways to address supply gaps. I was just wondered if you might be able to add a little more color or detail there as to exactly what you’re doing?
George Corona: Okay. Yes. So first fall, we did a pretty substantial reorganization of our U.S. branch business last quarter. A big part of that was designed to address some of the challenges that we had within our structure to dealing with supply and demand fluctuations in the United States. Let me give you a little bit more color on that. We used to have artificial boundaries around divisions that delivered into the U.S. that didn’t necessarily make it easy to say that if there was an increase in demand in California that we could take productive capacity that might be in the Midwest that’s not being used and apply it to there. There were both technological barriers in the past and there were organizational barriers. Most of the technological barriers have been removed to give us the ability to do that. Last quarter, we took steps to remove the organizational boundaries to make it more seamless that we could apply recruiting talent to where the demand fluctuations are going. And that should make it much easier for us to not only fill more orders, but also to make it much more efficient when we do that. So we don’t have to hire places where we have – where we don’t have capacity and hang on to the people where we have capacity. So that big change happened last quarter and it’s going to take a little bit of time as we move through all the management changes for that to finally take hold. The second big thing that we’re doing to address those issues that we think particularly in the specialty areas are going – there’s going to be a long-term structural shortage of talent. And that in order – the companies that are going to prosper in the future are going to be the ones that have a deeper connection to talent and become a place and a source for people as they’re looking for jobs. We have to get them to a point, where we’re differentiated in the marketplace from competition because of the way that we interact with them, the technology that we apply, the care that we take with their careers. And that takes a whole new level of, what I would call, employee care that we have to apply to become that differentiated source in the marketplace. We have a program, called Talent X, going on within the company right now, which is designed explicitly to both understand what the talent is doing, and then make changes in our service delivery process and our outreach to the communities to make sure that we begin that differentiation process. The organizational changes are more short-term and we expect in the second-half of this year that they will begin to pay dividends and we’re confident of that. The changes in system and process is more of an ongoing change within the company, but it really revolves around the fact that we’re getting back to the core of being a talent company.
Joe Gomes: Okay, great. Thank you.
Operator: And Mr. Corona, we have no further questions in queue. I’ll turn it back to you for any closing comments.
George Corona: If there is no further questions, I just want to thank everybody for being on the call. And since this is my last call, thank you to you all. It has been an honor of a lifetime. Thank you.
Operator: Ladies and gentlemen, this conference is available for replay. It starts today at 11:30 A.M. Eastern, will last until September 7 at midnight. You may access the replay at any time by dialing 800-475-6701 or 320-365-3844. The access code is 414735. Those numbers again 1800-475-6701 or 320-365-3844. The access code 414735. That does conclude your conference for today. Thank you for your participation. You may now disconnect.